Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Golden Entertainment Third Quarter 2015 Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded today, November 4, 2015. I will now turn the call over to the company's Investor Relations contact, Jacques Cornet, with ICR. 
Jacques Cornet: Thank you, operator, and good afternoon. By now, everyone should have access to our third quarter 2015 earnings release, which can be found on the company's website at www.goldenent.com under the Investors section. 
 Before we begin our formal remarks, we need to remind everyone that the discussion today will include forward-looking statements within the meaning of the federal securities law. These forward-looking statements, which are usually identified by the use of words such as will, expect, believe, anticipate, should or other similar phrases, are not guarantees of future performance. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect, and, therefore, you should exercise caution in interpreting and relying on them. We refer all of you to the risk factors and our recent SEC filing, including our most recent Form 10-K as updated by our subsequent quarterly reports on Form 10-Q for a more detailed discussion of the risks that could impact our future operating results and financial condition and other forward-looking statements. 
 During today's call, we will discuss non-GAAP measures, which management uses and believes are useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our third quarter 2015 earnings release. 
 Hosting the call today, we have Blake Sartini, who serves as the Chairman of the Board, President and Chief Executive Officer of the company; and Matt Flandermeyer, who serves as the Executive Vice President and Chief Financial Officer of the company. Management will provide prepared remarks, after which, we will open the call to questions. 
 With that, I'll turn the call over to Blake 
Blake Sartini: Thank you, Jacques, and good afternoon. We appreciate everyone joining us today and welcome you to our first call as the new Golden Entertainment. 
 On the call today, I will provide an overview of the company and review the strategic priorities we are focused on post-merger. I will then turn the call over to Matt, our CFO, who will discuss additional details about our financial results. 
 This past quarter was transformational for the company. On July 31, we closed the merger between a subsidiary of Lakes Entertainment and Sartini Gaming, renaming the company Golden Entertainment. This combination creates a well-capitalized company with increased scale and geographic diversity. Looking forward, in addition to our current portfolio generating significant free cash, we have meaningful growth opportunities to expand our business and increase shareholder value. 
 Given the timing of the transaction, the third quarter was one of transition. As of today, we have been operating post-merger for just about 3 months. We are very pleased with the initial progress we have made regarding the integration of the 2 companies and are confident that significantly more progress can be achieved as we move forward. The results we reported this afternoon reflecting 2 months as a combined organization are just the beginning of the financial benefits we anticipated when we first announced the transaction and the establishment of a truly diversified gaming company. Now with the merger complete, the new Golden Entertainment operates in 2 distinct segments, Distributed Gaming and Casinos. 
 First, our Distributed Gaming segment operates over 7,700 gaming devices across nearly 700 locations. Included within this segment are over 730 gaming devices at our 48 wholly owned and operated, uniquely branded taverns and nearly 2,000 gaming devices within approximately 160 nationally recognized retail chain locations. Our Distributed Gaming segment generates approximately 65% of our year-to-date combined company adjusted EBITDA, excluding Corporate and Other, and is the largest network of distributed games in Nevada. 
 Within this business unit, we install and operate a limited number of gaming devices in strategic and convenient high-traffic, non-casino locations. This is a business where scale enhances our disciplined operating strategy. The business is focused on high repeat local customers seeking value in convenient locations, offering competitive payouts and unique food and beverage offerings. We have been successfully executing this operating approach in this market for the better part of 14 years. A highlight to this business is that we have developed and deployed a proprietary player rewards program to facilitate ongoing guest communication and loyalty. 
 Our Distributed Gaming network is by far the market leader in Nevada, with roughly 41% of the market share based on the total restricted gaming machine count in the state. This business has proven to be very capital-efficient and highly scalable, with a variable cost structure. Within this Distributed Gaming segment, we ended the third quarter with 85 more gaming devices than the same period a year ago, including 60 devices in our wholly owned taverns. And most recently, we have contracted for 10 additional retail locations, which will deploy over 115 gaming devices expected to come online during 2016.
 For the third quarter, same-store revenue for our third-party locations was 5% higher versus the prior year period. 
 Turning to our branded tavern business. We offer an upscale casual environment, typically with 15 on-site gaming devices, along with a superior food and beverage offering and a market-leading player rewards program. We offer it under 3 distinct brands, our PT's and Sierra Gold brands. And most recently, we rolled out our Irish-themed brand under Sean Patrick's. Similar to our third-party Distributed Gaming network, we are also the largest traditional tavern operator in the state of Nevada by a wide margin. Since we began in the tavern business in 2002, we have added approximately 30 locations over the past 13 years. Even with this significant growth, our current market share is still just around 10%. We believe this provides significant upside opportunity to continue to expand through acquisitions of existing taverns and through the greenfield development of new taverns. Financially, we believe that growth in this business can be achieved with a high return on invested capital. 
 Recently, we announced expansion plans for early 2016. We'll be adding 4 new tavern locations, including the addition of a new brewery concept, PT's Brewing Company. We continue to experience a strong pipeline of new tavern opportunities. To provide a sense of the current performance of this business, for the third quarter, our same-store revenues increased approximately 5.5% versus the prior year period. And year-to-date, same-store revenues increased 5.6% versus the prior year. 
 Now turning to our Casinos segment. We operate 3 casinos in Pahrump, Nevada and the Rocky Gap Casino Resort in western Maryland. Our combined Casinos segment generates approximately 35% of our year-to-date combined company adjusted EBITDA, excluding Corporate and Other. Pahrump is located in Nye County, Nevada and situated approximately 60 miles from Las Vegas. Our Pahrump casinos generate approximately 70% of the total gaming revenue within the county. The 3 casinos which we operate are the Pahrump Nugget Hotel & Casino, the Gold Town Casino and the Lakeside Casino & RV Park. The Nugget, the Nye County market leader, is located on 40 contiguous acres, of which 20 is undeveloped. Recently, a 107-room Holiday Inn Express Hotel & Suites operated by a third-party opened adjacent to our Gold Town Casino and within a short walking distance to our Pahrump Nugget Casino. With this new significant development, along with our continued efforts to drive additional market share, we have initiated a capital plan which includes providing a single card player tracking system, combining our Pahrump and Rocky Gap properties, the remodeling of 2 of our properties' bingo rooms, and the redevelopment of certain retail amenities. We are currently in a planning phase and are still finalizing the scope, and we'll provide additional details at the appropriate time. 
 Now turning to our Rocky Gap Casino Resort. We are very pleased as the property turned in a solid quarter. During the quarter, we added 54 gaming devices to the existing floor and are pursuing or considering several additional initiatives at the property. First, we are currently seeking approval for a parking expansion that will add 150 parking spaces, which we anticipate could cost roughly $1 million. Presently, there are a significant number of days during the year where we reach parking capacity. We anticipate this investment will result in an approximate 33% return on our invested capital. Secondly, we've requested approval to add 3 additional table games. In addition, our device count can flex up to 1,500 gaming devices while adding an unlimited number of table games. Beyond these tangible improvements, we are also considering additional retail and entertainment options. Lastly, the master plan includes the potential for an additional 200 rooms -- 200 hotel rooms. As a result, we believe that in the long term, this asset provides significant upside opportunity. 
 Going forward, we are excited about the organic growth opportunities within our existing portfolio, and we expect to pursue external opportunities in the future. As I mentioned, regarding our Distributed Gaming segment, we remain active in expanding our tavern business as well as looking to expand in other states and jurisdictions where we can leverage our unmatched experience and business model. Recently, Golden has been granted a gaming license in the State of Montana, in addition to our current licenses in Nevada and Maryland. Finally, our objectives are simple. We will allocate and manage shareholder capital in a diligent, proactive and prudent manner, always with the objective of creating value for our shareholders. Also, we will continue to use our management expertise and significant financial flexibility to execute on our external growth strategy. 
 With that, I'll now turn the call over to Matt. 
Matthew Flandermeyer: Thanks, Blake. As Blake mentioned, we completed the merger on July 31. Net revenues for the 3 months ended September 30, 2015, was $62.5 million, an increase of 292% compared to the prior year period. Adjusted EBITDA for the current quarter was $7.1 million compared to $1.6 million in the prior period. For the current quarter, net income was $3 million or $0.16 per diluted share compared to a net loss of $23.1 million or $1.72 per diluted share in the prior year quarter. The results for the prior year quarter were impacted by impairments and other losses of $21 million related to investment in Rock Ohio Ventures. 
 As Blake mentioned, this has been a transitional quarter for the company. The results were impacted by 4 main items. First, the current year results include the operation of Sartini Gaming for only 61 days. Second, the company incurred $9.3 million in merger-related expenses. Third, the company recognized an income tax benefit of $12.9 million. Finally, the adjusted EBITDA includes some dual expenses in corporate overhead. Combined Corporate and Other expenses totaled $4.2 million for the quarter versus our anticipated steady-state run rate after cost eliminations of approximately $3.7 million on average per quarter. 
 Given the merger, we believe it is helpful to provide comparisons on a combined basis and have provided that information in the press release, combining the results of the company with the premerger results of Sartini Gaming for the relevant period. 
 Combined adjusted EBITDA for the quarter was $9.9 million versus $8.8 million in the prior year quarter, an increase of 13.1% and a combined net revenue increase of 3.5%. Year-to-date combined adjusted EBITDA was $31 million, which included minimal merger synergies. 
 Distributed Gaming combined net revenues increased 6.1% for the same periods. Distributed Gaming combined adjusted EBITDA was $8.4 million versus $7.2 million, an increase of 16.8%. Distributed Gaming adjusted EBITDA was positively impacted by increased location and game count, increased same-store sales results and positive economic indicators in the Las Vegas and Reno markets. 
 Casino combined net revenues decreased 2.5% for the same period. Casino combined adjusted EBITDA for the quarter was $5.7 million versus $5.5 million, an increase of 4.5%. The company also has a $94 million of net operating loss carryforwards, which can be applied against our future taxable income, resulting in minimal cash income tax payment over that period, assuming no ownership change occurs under Section 382 of the tax code. 
 Looking at the balance sheet, at the end of the third quarter, we have $43.2 million of cash and cash equivalents. On July 31, 2015, the company completed the syndication of a new $160 million senior secured credit facility, of which $145 million was drawn at closing. We refinanced approximately $198 million in the -- in combined debt at the closing of the merger by utilizing part of the premerger Lakes cash balance. On a combined basis, we estimate this will save $18 million annually in interest expense compared to the interest expense on the secured debt facilities of the companies in place prior to the merger. The credit facility matures in July of 2020, and as of the end of the quarter, the weighted average effective interest rate was approximately 3%. Capital spending for the quarter was $1.3 million, the majority of which was maintenance capital. On a combined basis, capital expenditures were $2 million for the quarter and $8 million year-to-date. 
 With that, operator, please open the lines for questions 
Operator: [Operator Instructions] We'll go to Jim Devlin with Henley & Company. 
James Devlin: Moving forward, now that you guys are public, can you give us some kind of structure around the new license in Montana, the kind of size and scope of the market or kind of what your plans are there? 
Blake Sartini: Sure. This is Blake. We, even prior to the merger, had been exploring opportunities in the State of Montana. To give you an idea of the potential scope, Montana has approximately 16,500 gaming devices in a Distributed Gaming format, much like Nevada, compared to Nevada, which is about 18,500. So a very similar market size. The -- we were issued the license in -- what month, in November of last year, I believe, in Montana. And we continue to try and position ourselves for potential opportunities up there. We have nothing to discuss at this point, but that gives you an idea of the scope of the market up there. 
James Devlin: Okay. And then as far as you guys now just, I guess, up to your elbows in alligators just getting the whole platform public.  As you move down the road, I don't think you guys went public to maintain the status quo, I would assume you guys have some growth initiatives. Would you look at one-off hotel properties that's kind of the management's background and trademark in the past? Do you stay kind of in the quasi-route business? Or if you see opportunities to pick off attractive properties at right multiples, is that something that you guys would look at? 
Blake Sartini: The short answer is yes. Obviously, we are driven to provide shareholder value at this point to your point about growth. And I think, importantly, we're pretty uniquely positioned in the current gaming space regarding our ability to maneuver in this Distributed segment with our infrastructure. But also, as you mentioned, our DNA, if you will, was really in operating casinos, traditional-type casinos. So if those opportunities do arise, I would -- and they make economic sense for us and strategic sense for us, the answer would be, yes, we would pursue those opportunities. 
James Devlin: Okay. And just 1 last question. Northern Nevada, as of late, maybe the last 6 months, with this kind of Tesla effect going on up in Reno, can you speak to the company's position in Northern Nevada during kind of unprecedented comeback growth in Reno? And what's your size there? And do you guys have plans to expand in the market? 
Blake Sartini: I'm going to -- I'll turn over the last part of that question to Matt. We operate currently, give or take, about 2,500 gaming devices in that part of the state on our distributed route. We operate essentially 2 taverns up there at the moment. We are focused on the I-80 corridor for continued expansion. And your observation around Tesla and other actually -- other pretty large developments that are going in up there, we just believe that, that market has -- is going to provide continuing growth opportunities for us going forward. 
Operator: And we'll continue on with a question from Adam Joseph. 
Adam Joseph: How should we think about potential acquiring opportunities, perhaps on the slot route business, both in the biggest jurisdiction markets, maybe even Northern Nevada, and then the deal flow that maybe you're seeing outside of those markets? Should we think about that as the kind of typical expansion we might see out of you? Or perhaps, basically, the gentleman previous to me talked about maybe one-off casinos.  When we're trying to model your growth, how should we think about the opportunities that you guys are looking at internally? 
Blake Sartini: Thank you, Adam. I think in 2 parts. Very tangibly, right now, as we mentioned in our opening remarks, the opportunities that exist to expand our current tavern portfolio, we're acting upon that. We talked about the 4 locations that we're getting ready to open. We also mentioned that the pipeline remains full. I think you'll see us continue to have those opportunities and act upon those as they come about. Similar in the route business, we are experiencing organic growth as well as the potential for acquisitions not only, I think, potentially in Nevada but other jurisdictions and which states operate similar types of gaming routes, if you will, or distributed gaming. So tangibly, I think those may be at least something we're focused on short term here. Longer term or as an opportunity presents itself, I do think you'll see us, if it makes sense, being able to operate additional gaming -- traditional casino gaming facilities as well. So it's kind of -- we're operating in tangible opportunities now, and we're uniquely positioned on the casino side. Should those come about as well, I would -- we would act upon those if they make sense. 
Adam Joseph: Great. And then a question for you, Matt. Can you recap the cash position? And if you are to look at a potential deal again maybe even in the slot route or maybe it's a property that you would acquire, how should we think about what that cash position would look like moving forward? I know that's a bit of a moving target, but can you give us some comfort level about where that stands? 
Matthew Flandermeyer: Thanks, Adam. As far as our current capital structure, we are -- we have $150 million facility. We're drawn at $145 million. On a net debt basis, we're levered about 2.5x. We like that position. It's supported us very cost-effective capital. But as opportunities present themselves, we'll have to judge the merits of flexing up to take advantage of that opportunity versus what that return would look like. So I would see us perhaps flexing up somewhat and then, over time, retain our debt, getting down to a level that we're comfortable with. 
Operator: [Operator Instructions] We have a question from Greg Nelson [ph], private investor. 
Unknown Attendee: Blake, I was just wondering, as far as your company, as far as like a road show or kind of getting some brokerage firms or investors interested in the stock, if you have any plan to do that. I kind of noticed that the volume of the stock is really low and doesn't seem to trade a lot, and wondering how we're going to get investors or brokerage firms interested into your -- into what you guys do. 
Blake Sartini: Yes. That's great. That's a very good question. Obviously, in the past, the stock has been thinly traded as the prior Lakes Entertainment. We have initiated communication with potential analysts to cover the stock. I think this call probably -- we're hopeful will result in a kickoff of analyst coverage of the company, which I think is significant. In addition to that, the float continues to be an issue. And I think that, over time, we'll see where that goes. But your observation is good in that we've initiated those contacts. We believe this call will be the kickoff for, hopefully, some coverage coming from some analysts that have expressed interest in covering the stock. 
Operator: [Operator Instructions] We'll go to Michael Melby with Gate City Capital Management. 
Michael Melby: Might be a little off-topic but was curious if you might have an update on the Jamul note down in San Diego. 
Matthew Flandermeyer: Michael, thanks. This is Matt. Currently, we don't have an update on the Jamul note. The way I think -- just a refresher, the way that works is there would be a special committee of the board, which comprises of 3 directors that were previously on Lakes board, would handle any negotiations or monetization of that note. And should it be done within a -- I believe, a 3-year period, it would be distributed to the shareholders other than Mr. Sartini. So -- but currently, there's no update. 
Operator: And with no additional questions in the queue, I'd like to turn the floor back over to Mr. Blake Sartini for any additional or closing remarks. 
Blake Sartini: Thank you, all, for joining us this afternoon. We look forward to updating everyone on our progress when we report our fourth quarter results. Again, thank you for joining us today. 
Operator: Thank you. And again, ladies and gentlemen, that does conclude today's conference. Thank you, all, again, for your participation.